Operator: Good morning, ladies and gentlemen and thank you for standing by. Welcome to the Wingstop Inc. Fiscal Third Quarter 2023 Earnings Conference Call. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. Please note that this conference is being recorded today, Wednesday, November 1, 2023. On the call today are Michael Skipworth, President and Chief Executive Officer; and Alex Kaleida, Senior Vice President and Chief Financial Officer. I would now like to turn the conference over to Alex. Please go ahead.
Alex Kaleida: Thank you, and welcome to the Fiscal Third Quarter 2023 Earnings Conference Call for Wingstop. Our results were published earlier this morning and are available on our Investor Relations website at ir.wingstop.com. Our discussion today includes forward-looking statements. These statements are not guarantees of future performance and are subject to numerous risks and uncertainties that could cause our actual results to differ materially from what we currently expect. Our SEC filings describe various risks that could affect our future operating results and financial condition. We use certain non-GAAP financial measures that we believe can be useful in evaluating our performance. Presentation of such information should not be considered in isolation or as a substitute for results prepared in accordance with GAAP. Reconciliations to comparable GAAP measures are contained in our earnings release. Lastly, for the Q&A session, we ask that you please each keep to one question and a follow-up to allow as many participants as possible to ask a question. With that, I would like to turn the call over to Michael.
Michael Skipworth: Good morning, and thank you for joining our call. It is an exciting time at Wingstop, and I'm honored to be leading such a talented team who delivered industry-leading results year after year. Our AUVs now average $1.8 million and we are on track for our 20th consecutive year of same-store sales growth. Wingstop continues to see double-digit transaction growth, a true sign of the underlying health and momentum of our brand. In fact, we exited the quarter with more momentum than when we started. This growth we are seeing is consistent across all vintages of restaurants and our new restaurants are opening even stronger. We are achieving record levels of new guest acquisition across all channels. Our core guests continue to engage with us and we are seeing an increase in our average frequency. Our team has been laser-focused on operational excellence within the four walls of the restaurant and we are seeing that show up in our guest scores. Our supply chain strategy is working, translating into industry-leading unit economics and we are on pace for a record year for development. We recently held our annual brand partner convention. While it provided an opportunity to reflect on the exceptional results in our business, we and our brand partners are focused on the road ahead for Wingstop, which is even more exciting than our accomplishments to date. The visibility we have into 2024 and beyond give us confidence to deliver against our strategies of sustaining same-store sales growth, maintaining best-in-class returns and accelerating growth. Wingstop is truly in a category of one and our results demonstrate that year-after-year. In the third quarter of last year, we expanded our delivery platform to add Uber Eats nationally and we also launched the Wingstop chicken sandwich or technically 12 chicken sandwiches. These two sales growth strategies brought a lot of new guests into the brand during the second half of 2022. This momentum has clearly continued into 2023. Throughout this year we have explained how these sales growth strategies that we are executing against are multiyear drivers, giving us confidence to increase AUVs well north of $2 million. We believe this was showcased in the third quarter as we lapped the launch of both Uber Eats and our Chicken Sandwich delivering 15.3% same-store sales growth. That was almost driven entirely by transaction. To further the point, we acquired more new guests this past quarter, than we did during our incredibly successful launch of Chicken Sandwich in Q3 of 2022. We are unique in the industry, an industry that has experienced significant price inflation, contributing to transaction loss for many brands. But that is not, Wingstop. And as lower-income consumers pullback from those higher frequency QSR occasions or even has higher-income consumers trade down into dining visits, Wingstop is uniquely positioned to gain more new guests and introduce them to that indulgent, high-quality occasion that our core consumers have come to appreciate over the years. The momentum we are seeing in our business led us to increase our outlook, to approximately 16% domestic same-store sales growth for 2023. Wingstop is at an exciting inflection point as a brand. Our strategies are working and have staying power, positioning us well on our path to grow AUVs in excess of $2 million. We are achieving record levels in brand health metrics. Our advertising fund is four times the size it was in 2018, our first year as a National Advertiser, giving us the fuel to continue acquiring new guests and drive top-of-mind consideration. While we are making great progress on building awareness, our opportunity remains significant to reach the awareness levels of other scaled National Restaurant brands. Our media strategy is proving highly effective, along with new breakthrough creative launched in September. Many consumers are experiencing our flavors for the first time, and they're returning for more. With a year under our belt with Chicken Sandwich, we are learning a lot about these new guests. About half of our new chicken sandwich guests, purchase only a Sandwich in their first visit, but we are seeing the majority of them in their second visit navigate the rest of our menu and purchase other proteins. Chicken Sandwich has helped create a halo effect around our brand and is positioning linkup to win more of these guest occasions. The acquisition of these new guests is translating into stronger new guest retention and increasing frequency. And there's plenty of runway ahead of us, as we look to gain our fair share of the 2.8 billion servings of chicken sandwiches annually in the US. These new guests we are attracting tends to be Gen Z or Millennial, middle income and are less likely to have kids in their households than our existing guests. Their average ticket and boneless mix are higher than our existing guests and they tend to engage with us through our digital ordering platform. This consumer is right in the sweet spot for our brand. But it is not just with our new chicken sandwich. We are seeing strong new guest acquisition across all channels. We continue to see growth in average weekly transactions with DoorDash. And since the launch of Uber Eats, we have sustained Uber Eats delivery transactions at a level that's double the initial launch last year. We see the delivery channel as another opportunity to build awareness for Wingstop and we are nowhere close to a point of maturity. While these strategies are supporting our path to $2 million-plus AUVs, we are also excited about the progress we are making to continue to scale our best-in-class digital platform, which we believe will help protect the moat around our category of one position. During the third quarter our digital sales mix achieved a new record at 67% and we remain focused on our aspirational goal to digitize every transaction. We took a step three years ago to begin investing $50 million to build our proprietary tech platform. This investment serves two purposes: protect our digital business that has quickly scaled to $2 billion in system-wide sales and unlock new capabilities that tap into our digital database of more than 35 million users to enable further AUV growth. Our proprietary tech stack will deploy an increased level of hyper-personalization that we believe will improve conversion retention rates and ultimately drive frequency. We built a platform with the most modern technology within our tech stack. I'm thrilled to share that we are now in a pilot phase testing our platform in restaurants which positions us for our anticipated launch in Q2 of 2024. We are just scratching the surface on personalization and we see this as a key part of our strategy for sustaining same-store sales growth. The strength of our AUVs and unit economics are translating into accelerated growth in our development pipeline. The visibility we have into our construction pipeline at this time positions us to deliver on our 2023 guidance of 240 to 250 net new units which would be a record year for Wingstop. We expect to exit 2023 at our highest level of development agreements ever. Our supply chain strategy is proving to be highly effective and we have clear line of sight into our food costs for 2024 that lines up with our target of mid-30% range delivering predictability for our brand partners. Our corporate restaurants are a great example of the impact this strategy is having with margins in the mid-20% range for 2023. At its system AUV of $1.8 million food comps in the mid-30% range and based on an initial investment in the mid-$400,000 range, brand partners are seeing an industry-leading payback of less than two years. We've set a target for over 7,000 global restaurants, more than three times our current footprint. And the big part of our growth story is our international business. Not dissimilar from the US, our international markets are experiencing double-digit comps driven by transaction growth. They're executing a similar playbook to the US. In our UK market, our first restaurant that opened five years ago is hitting record sales volume. New restaurants are opening stronger including in new markets such as Canada and Korea that are building an awareness. We expect our newly signed markets Netherlands and Puerto Rico to open within the next two quarters and our business development pipeline of potential new brand partners is strong. I continue to believe our international business is supercharged for growth. With this incredible growth in our business comes responsibility. A core tenet of our ESG strategy is giving back to the communities in which we serve through Wingstop Charities. I'm proud of what the team has accomplished this past year. Wingstop Charities awarded over $1.3 million in grant so far in 2023, an increase of over -- more than 400% from the prior year. In the third quarter, Wingstop Charities was able to support a tremendous cause, where 100% of contributions made through the roundup program in the months of August and September going to the No Kid Hungry organization. No Kid Hungry's mission is to end child hunger and to help ensure every single child in America has the food they need to grow up healthy and strong. The contributions provided to No Kid Hungry will provide three million meals to our youth. This is just one of the many ways Wingstop Charities that's helping support the communities we serve. As I mentioned at the start of the call, I couldn't be more excited about the momentum we have in our brand right now. Wingstop is in a category of one and our strategies are positioning us well for our next phase of growth. Our highly franchised asset-light model generates strong free cash flow and allows us to provide what we believe are industry-leading shareholder returns. Since our IPO, we have delivered a total shareholder return in excess of 950%. This past quarter, we announced our inaugural $250 million share repurchase program which we believe further demonstrates our commitment to enhancing shareholder returns. We have great momentum heading into 2024 with a brand that's on the offense. The underlying health of our brand is the strongest it's been with same-store sales being fueled by transaction growth and continued strengthening in our best-in-class unit economics. I want to thank our team members, brand partners and supplier partners for their dedication and hard work to deliver these industry-leading results. With that, I'd like to turn the call over to Alex.
Alex Kaleida: Thank you, Michael, and good morning. The third quarter is a clear reflection of the multiyear benefits our strategies are designed to achieve. Total revenue increased to $117.1 million from $92.7 million in the prior year fiscal third quarter. Royalty revenues, franchise fees and other revenue increased by $12.8 million in Q3, primarily due to $3.8 million from franchise restaurant openings and a 15.3% increase in domestic same-store sales, which was driven almost entirely by transaction growth. As a result of the strength in our same-store sales growth, we are increasing our guidance from 10% to 12% to approximately 16% in 2023. Company-owned restaurant sales totaled $24 million in Q3, an increase of $3.8 million, primarily due to a 6% increase in company-owned same-store sales, driven almost entirely by transaction growth in four net new restaurants versus the prior year comparable period. Company-owned restaurant margins were 26.4% for the quarter showcasing the strength of our unit economic model. Cost of sales as a percentage of company-owned restaurant sales improved by 440 basis points compared to the prior year, mainly driven by a reduction in food, beverage and packaging costs, which included a 13.5% decrease in the cost of bone-in wings. We are on track to deliver a full year cost of sales of approximately 75% consistent with the prior outlook we shared earlier this year. And we continue to make progress executing our supply chain strategy to mitigate volatility in our food costs. At our recent brand partner convention, we generated quite a bit of excitement with the visibility we shared into our 2024 food costs, which for company-owned restaurants would translate to approximately 35% food cost. Our strategy is supported by the progress we are making on increasing our boneless mix now at a record level of 44% for the system. This compares to a low 30% boneless mix just a few years ago. We believe a boneless mix in excess of 50% could yield a structural change in our food cost target to a low 30% level further enhancing our best-in-class returns for our brand partners, which we believe will continue to fuel record development for new restaurants. In the third quarter, SG&A totaled $23 million, an increase of $6.4 million versus the prior year comparable period. The current quarter included an increase in performance-based stock and short-term incentive compensation as a result of our performance as well as investments in headcount and strategic projects to support the long-term growth of the business. As we scale, we anticipate seeing greater leverage in our SG&A investments and are continuing to target a long-term SG&A as a percentage of system-wide sales in the 2% to 2.5% range. Adjusted EBITDA a non-GAAP measure was $38.5 million during the quarter, an increase of 36.7% versus the prior year, which is building on top of adjusted EBITDA growth of 33% in the prior year period. Adjusting for non-recurring items, we delivered adjusted earnings per diluted share a non-GAAP measure of $0.69, a 53% increase versus the prior year. In August, we announced that our Board of Directors authorized our inaugural $250 million share repurchase program. Since our IPO, total shareholder returns have exceeded 950% demonstrating our commitment to returning capital to shareholders. To further demonstrate, this commitment we entered into an accelerated share repurchase agreement to repurchase $125 million of Wingstop common stock. Under this ASR agreement as of September 30, 2023, the company retired 567,000 shares of its common stock, representing an estimated 75% of the total shares expected to be delivered. The delivery of any remaining shares will occur at the final settlement of the transaction, which is scheduled in the fourth quarter. The total remaining authorized amount for share repurchases is approximately $125 million at the end of Q3. Another component of our return of capital strategy is our regular quarterly dividend, which is targeted at approximately 40% of free cash flow. On October 31, 2023, our Board of Directors approved a quarterly dividend of $0.22 per share of common stock resulting in a total dividend of $6.5 million. This dividend will be paid on December 8, 2023 to stockholders of record as of November 17, 2023. Our regular dividend program combined with our new share repurchase program underscores the strength of our highly franchised asset-light model in our ability to enhance shareholder returns, while preserving financial flexibility on our balance sheet to support our strategic growth initiatives. Moving to our outlook for 2023. Based on the visibility we have in our construction pipeline, we are reiterating our development outlook of 240 to 250 net new units, which represents unit growth rate of 12.5% at the midpoint of our range. SG&A guidance is estimated to be between $94.5 million and $95.5 million from prior guidance of $91 million to $93 million, including $5.2 million in nonrecurring consulting projects to support our strategic initiatives, an increase in our short-term incentive accrual based on the performance of our business and an estimated $14 million to $15 million of stock-based compensation expense, which is unchanged from prior quarter guidance. I want to echo Michael's sentiment earlier. It is truly an exciting time to be at Wingstop. We are building brand awareness, scaling the brand globally and increasing frequency among our guests, against what could be considered a challenging macro backdrop, showcasing Wingstop's category of one position. Our strategies have staying power and give us the confidence to continue to deliver industry-leading results. Thank you to all our team members, brand partners and supplier partners for their tireless efforts to serve the world our flavor. With that, I'd like to now turn to Q&A. Operator, please open the line for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question today comes from Jeff Bernstein with Barclays. Please go ahead.
Pratik Patel: Hi, good morning. This is Pratik on for Jeff. I guess I can start off with a question on the comp. You've had another very strong quarter despite seemingly a growing number of consumer headwinds with higher interest rates, rent costs, student loan payments and pricing is obviously being lapped as well. Your fourth quarter guidance implies another quarter of double-digit growth and you seem to be unique among your peers driving your results mostly with transaction growth. Just, what do you attribute to all the strength? And how do you kind of sustain such momentum despite the seemingly growing headwinds? Thanks. And I have a follow-up.
Michael Skipworth: Good morning and thank you for the question. I think it's a handful of things that I would call out. I mean there's no question, as we look at industry data and we can clearly see that there's pressure on the consumer. But I think what you're really seeing in our business and what is making Wingstop unique is just the effectiveness of our growth strategies. We're acquiring more new guests than ever. Obviously, we're winning a lot of new occasions with chicken sandwich, as well as delivery. But as we said in our prepared remarks, we're seeing more of those guests come back and navigate the rest of our menu, winning more of their occasions, which is yielding an uptick in frequency for our brand which we're really excited about. I think we've talked about over the years and it's really showcased in the fact that we've delivered 19 consecutive years of same-store sales growth and we're on pace for our 20th this year is that when there is pressure on the consumer, particularly that lower-income consumer, they do have a tendency to pull back on more high-frequency occasions. And where Wingstop plays well and where we win is we see those guests almost save up and want to treat themselves or indulge, and that's where Wingstop shows up in a really good way. And so we've been able to over the years retain those indulgent quality occasions. And I think what's really interesting in our business and what we saw in this – in Q3 was we actually saw a slight uptick in frequency with that low-income consumer, which we're pretty excited about. And then at the same time, we're seeing that higher-income consumer potentially pull back on dining out occasions, dining at home more. And we're winning those occasions as well. And so I think all of that's supported by an effective advertising strategy, one that we believe is really working. We have an elevated amount of ad fund investment to deploy, growing consistent with our system sales growth of roughly 30%. That's allowing us to show up in more premium placements like live sports. We've shown up in the NFL in a big way. We're showing up in NBA right now. And that's coupled with our new breakthrough creative, which we're really excited about. The – we're seeing some of the highest levels of purchase intent associated with that new creative. And one of the top things that consumers share with us when they see that new creative is it makes them hungry. And so we think that food forward showing the enjoyment of our food on national TV is really all laddering up to help us continue to drive our business with transaction growth. And as we mentioned, we saw that strengthen as we progress through the quarter and that gives us a lot of confidence in how we'll finish 2023, which will be another record year for Wingstop.
Pratik Patel: That's very helpful. I appreciate that. And shifting to unit growth, your demand has obviously been consistent all along. And I know you're not going to give any guidance today, but just any I guess qualitative comments on the outlook for 2024? Are you seeing any kinds of maybe stress amongst potential developers in terms of just slowing macro higher borrowing costs. Just any color on what you're kind of seeing right now for 2024. 
Michael Skipworth: Yes, absolutely. And I think we hit on this in the prepared remarks, but we're pretty excited about the momentum we have in development. This year is playing out exactly how we anticipated or thought it would and we're right on track and excited about the sights that are in our pipeline and where they are in the construction cycle, which supported our reiteration of our outlook for this year of 240 to 250 net new restaurants, which will be a record year for Wingstop. And we mentioned that our development pipeline, any metric we look at development agreements, number of approved sites as we go into 2024, it's on pace for a record levels. And that shows to us obviously, we have a lot of demand. But I think that demand is supported by the strength of our unit economics. We still support a pretty low initial investment in that mid-$400,000 range. And when our brand partners are seeing paybacks on that initial investment of less than two years, we don't see a lot of headwinds from some of these macro elements that you called out. And a lot of our brand partners in our system quite frankly are funding growth with existing cash flow. So there's not a high degree of leverage in our system that this current interest rate environment might impact. And so we're encouraged by how our pipeline is shaping up as we close out 2023.
Pratik Patel: It’s very helpful. I appreciate it. Thank you.
Operator: The next question is from David Tarantino with Baird. Please go ahead.
David Tarantino: Hi. Good morning. Congratulations on such strong results. Michael, I wanted to take maybe a different tack on the unit growth outlook question. I wanted to ask, what -- the strength in the business you've seen over the past few years has really driven unit economics to levels that were hard to envision the last time you gave the long-term growth outlook. So, I was just wondering if you're thinking about the US unit growth opportunity any differently than what you laid out in the past given the strength you're seeing, especially given the strength I guess, in attracting new customers into the brand. So any thoughts on what you think the long-term opportunity might be based on what you've seen this year or in recent years?
Michael Skipworth: Good morning, David. Thanks for the question. Obviously, we remain extremely confident in the opportunity we see for our brand in the US. We've previously decided that that's over 4,000 restaurants that we see the opportunity to expand Wingstop here in the US. And obviously, as you mentioned with the strengthening of our unit economics, there's a significant amount of demand for that growth. But I think as we look around at the total opportunity in front of us, obviously, as we continue to build out some of our original or more mature markets like the Dallas-Fort Worth market or even Los Angeles, we continue to see really strong pace of development in those markets and we see those restaurants opening up stronger, those paybacks continuing to improve. And so we do see that as an opportunity for us to probably lean-in in that plus if you will in our 4000 opportunity. But, as we sit here today, we remain extremely confident in being able to deliver on that long-term target of over 4,000 in the US. And then obviously, the business as we mentioned outside of the US is strengthening quite well. The markets that we're in are on track and we're really encouraged by how the brand is expanding outside of the US, which when you combine that with what we have here in the US combines for an opportunity for us to over triple the size of the brand as we sit here today, which is pretty exciting.
David Tarantino: Great. Thank you very much.
Operator: The next question is from Sara Senatore with Bank of America. Please go ahead.
Sara Senatore: Hi. Thank you very much. Just a question and a quick follow-up please. The question is on the food cost you mentioned. I know that you've done a nice job with callers and hedging. But when I look at some of your inputs like chicken wings or even breast prices they've come up a lot. So I'm just trying to understand your confidence in 2024. Is it because of this mix shift towards boneless and so it's sort of structural? Or is this maybe perhaps more of a timing where 2024 looks okay but then some of the hedging -- or the contracts roll off and perhaps after that you see some of the impact of the recent increase in input plus prices? And then I have a follow-up as I mentioned.
Alex Kaleida: Hi. Good morning, Sara. This is Alex. It's really a combination of the factors you mentioned. The size and scale of our buy year-in and year-out and our increase of our boneless mix has made us -- has allowed us to enter into different pricing conversations with our suppliers. And for the first time we have visibility into our 2024 food cost, which we shared in our prepared remarks today. It's something our brand partners are really excited about. We've seen volatility before when the Urner Barry has moved. I mean, it's still today below the five year average well below the five year average of wing prices. But the price arrangements we have in place have moved our buy off the spot market which gives us that visibility into this year as well as into next year.
Sara Senatore: Got it. Thank you. And then on the topic of you having taken very little price, I guess, we've heard some about promotional environment getting more intense. Is that something that you've observed as well? I think the other thing that's emerged this quarter is that companies or concepts that have taken less price just seem to be doing better. So I'm just trying to understand, if it's more about the relative value that has accumulated given how much less price you've taken or if there is something that's going on in the promotional environment.
Michael Skipworth: Hey, Sara, I think for us, I think it plays a little bit into this category of one positioning in that we don't really feel like we have to get out there and maybe compete in that competitive value or promotional landscape, with other national brands because of the uniqueness of our offering and the differentiation of our cook-to-order and high quality. And so for us, we think that consumers are rewarding us for that indulgent occasion that quality the two components that are highest on some of the guest feedback that we hear and what they're looking for and where they want to spend their dining out dollars. And we're able to deliver that within a situation where or an offer that we believe provides great value to guests. And I think we've mentioned this before, but quarter-after-quarter, we continue to measure improvements in our value scores with guests. We think that's a combination obviously of our offering. But we also think it's supported by the improvements we've been making within the four walls of the restaurants on delivering a great guest occasion. And we're seeing our guest scores record levels for the brand right now. And so the combination of those two things, I think are allowing us to continue to lean into strategies that's working. And then if you look at our Q3 results, a 15.3% comp which is substantially all driven by transaction growth, I think that supports a little bit of what we're saying here.
Sara Senatore: Okay. Thank you so much.
Operator: The next question is from Andy Barish with Jefferies. Please go ahead.
Andy Barish: Hey, guys. I wanted to just get a little bit of clarification on the tech stack and just understanding what's being piloted in restaurants now that's different as you look forward to a 2024 launch. I may have missed something there, but if you could just provide us a little bit more color on that that would be helpful?
Michael Skipworth: Yeah, Andy, we're really excited about the progress we've made and where we are today with our proprietary tech stack. And this is end-to-end the entire consumer journey and something we've been able to build as we mentioned earlier leveraging the most modern technology. And we think it's something that's going to be a step change or even an unlock as we continue to advance our digital transformation and expand our digital business. And this is going to allow us to really lean into personalization really leverage that database that's over 35 million users strong and lean into hyper-personalization, and leverage things like AI that I think will ultimately impact conversion impact frequency. And so we're really excited about being in pilot in restaurant and starting to move towards that broader scale rollout, which we said would be in Q2 of 2024
Andy Barish: Great. And then just one follow-up on customer acquisition. You definitely gave a little bit more detail there, in terms of what's been going on with all the programs over the last year. Is that something new coming kind of out of your tech investment? Or was that studies that you've been doing recently on your guests, that you've been able to glean results from? Just trying to get a little bit more color on that.
Michael Skipworth: Yes, absolutely. As we see our digital business grow to a record level of 67%, that's allowed us to gain a lot more data on our guests and be able to learn more about them, where they dine, how they engage with our brand. And as we mentioned on our prepared remarks, having a year under our belt with chicken sandwich where we've brought a lot of new guests in, that's allowed us to really look at and understand, how they engage with our brand, how quickly they return into the brand and then what they buy on that second visit. And that's providing what we've called a halo effect to our overall business. And that new guests that we're bringing in we mentioned, tends to be Gen Z or Millennials more middle income, less likely to have kids at home, than our core. And their average ticket is higher, and their boneless mix is higher, which is helping support continued growth in our boneless mix, which is a beautiful thing because it ties directly to our supply chain strategy. That's allowing us to ultimately impact the unit economics and just further enhance those, which are already best-in-class.
Andy Barish: Okay. Impressive stuff. Thank you.
Michael Skipworth: Thank you.
Operator: The next question is from Joshua Long with Stephens. Please go ahead. 
Joshua Long: Great. Thank you for taking my question. When we think about the opportunity to drive boneless mix above that 50% threshold that you called out Alex, just curious in stores that have been driving meaningfully higher mix here now, just curious any sort of strategies or learnings you've seen in terms of what's been successful for getting either that level of awareness up, or just the frequency and engagement with that boneless category higher? And just maybe what that has to -- inputs that has into thinking about the broader system.
Michael Skipworth: Hi, Josh, I appreciate the question. It's interesting. There's plenty of restaurants in our system that have a boneless mix, well north of 50%. And those restaurants they are a little bit of the basis behind that statement we've made that could ultimately as we drive boneless mix higher north of 50%, could be a structural change in our food cost target. And those restaurants today are enjoying food cost that's call it 300 400 basis points lower than what we see at the system average. And we think, as we bring more of these new guests in, as we continue to win more of these occasions, it's not just boneless. It's not just sandwiches. There's tenders, as well. And so there's a ton of opportunity for us to go after to continue to win more of these guest occasions, that we believe give us line of sight to driving that boneless mix, north of 50%, which is pretty exciting for us. It's exciting for our brand partners, because it's just going to further bolster those best-in-class unit economics, which we know will just continue to fuel demand for development and allow us to continue to deliver on our long-term algorithm of growing units over 10% each year, which we believe will ultimately translate to best-in-class shareholder returns.
Joshua Long: Thank you for that. And as a follow-up when we think about your commentary around being able to drive awareness across all the different channels in particular you called out the strength in delivery and just the staying power that the brand has curious what you've seen in terms of the brand journey depending on maybe what channel the customers come to you from. Is there an opportunity? And how have you kind of navigated the opportunity around bringing customers that maybe come through the third-party delivery channel onto your own Wingstop-branded platform over time?
Michael Skipworth: Yes, absolutely. I mean it's been really exciting for us to see the growth in the delivery channel. But what's really exciting is we've seen growth in all channels. And I think that's really healthy for our brand. And we believe it's a demonstration that our advertising strategy is working the execution with the restaurants is really well. And so we're really encouraged by that. But as we think about continuing to win more occasions I really want to kind of tie back to the investments we've made in e-com and how we really believe that's going to be an unlock for us to control and really customize that customer journey in a way that allows us to win more of their occasions makes them think to go to wingstop.com or our app to engage with our brand. And we think as we continue to advance this pilot towards our national launch in Q2 of 2024 that's going to be an exciting unlock for our brand.
Joshua Long: Thank you.
Operator: The next question is from Brian Harbour with Morgan Stanley. Please go ahead.
Brian Harbour: Yes, thank you. Maybe first just one quick one. Was there a certain pricing assumption when you talk about where you think food costs will run next year?
Michael Skipworth: No, I think our comments around food costs really are centered around the progress we've made against our supply chain strategy. We continue to be committed to that disciplined approach to pricing that we've had over the years which is one to two points of price taken over two windows each year.
Brian Harbour: Okay. Thanks. And then I think it's clear that your larger advertising budget and what you've done with media has really been quite successful in driving awareness. Where do you think where else do you think you kind of want to be just in terms of ad placements? If you kind of thought about today versus where you'd like to be in one to two years where else do you think you can deploy dollars? And then do you think that that new creative campaign in September was a key driver of the momentum you saw exiting the quarter?
Michael Skipworth: Brian thanks for the question. I think it's interesting. We our ad fund has grown as we mentioned over four times what it was when we initially launched national advertising as a brand in 2018. So, that's significant growth. And it's allowed us to show up in these premium placements like the NFL and NBA. But even as we show up there I think you're only seeing us in one or two spots of game. And so there's a ton of runway just within linear TV for us to continue to show up more and continue to drive brand awareness. We mentioned and we've talked about it over the years that the opportunity we have to scale our brand awareness to where other more mature national brands are is that opportunity in front of us is significant. And we think as our ad fund continues to grow with system sales we'll continue to show up more. But at the same time we definitely lean into looking at being a digital-forward brand and leveraging that first-party data that we have to show up in the right channel with the right message even leveraging that database to target consumers who look just like those who engage with us. And so that will continue to be a key part of our strategy. But -- and the exciting thing for us and what gives us a lot of confidence is our strategy is working yet we still have a ton of runway in front of us just to continue to lean in and drive the overall brand. And obviously, we're excited about the creative. We definitely think that had an impact to the results we saw in Q3 particularly as we exited the quarter. But we think it's an aggregate of all the things we're working that are working together in concert that are supporting these industry-leading results and really ultimately driving transactions which is pretty unique in the industry right now.
Operator: The next question is from Andrew Charles with TD Cowen. Please go ahead.
Andrew Charles: Great. Thank you. Clearly very encouraging commentary on 3Q comps and how the business is shaping up in 4Q. I know we'll get the 2024 guidance next quarter, but is there anything that gives you concern in your ability to reach medium-term guidance of mid-single digits next year? I also have a follow-up.
Michael Skipworth: Andrew, thanks for the question. We were obviously really excited and pretty pleased with the results we saw in Q3. And really it was one thing that we felt was really important something we really wanted to highlight on the call today. And that is we've talked about these growth strategies that we've been executing against whether it's winning more occasions bringing in new guests via chicken sandwich, whether it's continuing to expand our brand awareness on the delivery channel and win more delivery occasions, continuing to scale our national advertising in a way that's seeing us measure record levels from a brand awareness perspective or even expanding our digital channel. And all of those we've talked about them being multiyear drivers for our business. And as we lapped some pretty meaningful levers that we pulled in 2022 we hope that it's understood and appreciated that these are in fact multiyear drivers. And so as we think about 2024 it gives us a lot of confidence for us to continue to drive AUVs and continue to advance the ball north of that $2 million target that we have which we know will just further enhance those best-in-class unit economics.
Andrew Charles: Excellent. Okay. Great. And then Alex looking ahead what's the philosophy of the balance sheet and use of cash is -- close to four times leverage versus the six times to seven times target. Is the plan for the foreseeable future to use free cash flow for stock buyback? Obviously, you have the $125 million still authorized. But looking even beyond that is the plan is to use free cash flow for stock buyback until conditions become more favorable for pursuing leverage recap that you've historically done?
Alex Kaleida: Hey. Good morning, Andrew. Yes, I think, we are sensitive a bit to the current backdrop we're operating in. But as you may recall last year we were opportunistic in the last debt transaction that we had made to position our flexibility on our balance sheet to navigate uncertainty ahead. And that includes with the strength of our free cash flow generation this asset-light highly franchised model we delever fairly quickly. But we can put that free cash flow to work whether it's to support our growth initiatives or return of capital strategies which also include beyond share repurchases a regular dividend that's funded at about 40% of free cash flow. So we think we have ample flexibility and liquidity available to us to continue to support those growth strategies.
Andrew Charles: Excellent. Thank you, guys.
Operator: The next question is from Jon Tower with Citi. Please go ahead.\
Karen Holthouse: Hi. It's actually Karen Holthouse on for John today. Thinking about the new technology platform that you're hoping to roll out to stores in the second quarter. It sounds like there's customer facing and then also analytical or operational pieces to it. If you could maybe expand on kind of the new capabilities? And then also other companies have started to talk about recouping some of their investments in digital capabilities through per-order fees or other fees to franchisees. Philosophically, how do you think about that as a service to your franchisees that's part of just already being Wingstop franchisee or something that's replacing third parties that you should get paid for? Just, kind of, again philosophically how do you think about that? 
Michael Skipworth: Hey, Karen, good morning. Yeah, we're really excited about what we're calling My Wingstop this tech platform that we've built. And we do believe it's going to just continue to advance the ball forward and provide a best-in-class consumer experience, digital ordering experience that will allow us to continue to win more digital occasions. And we think it will ultimately improve conversion and as we mentioned also we believe ultimately impact frequency. And you're right it is providing more insights and more visibility into the business within the four walls of the restaurants for our brand partners, which we think will just -- that added visibility the additional analytics will just further help them improve profitability over time, which is pretty exciting. And as we deploy this we will be deplacing certain costs that sit on their P&L today. And as we think about the ongoing operating expense associated with operating My Wingstop, we would expect to structure it in a way to where it's cost neutral in our P&L and the ongoing cost is covered by the brand partners. And we think that's the right approach to do it. And ultimately we think this is something that will just further enhance their unit economics over the long-term.
Karen Holthouse: Great. Thank you.
Operator: The next question is from Andrew Strelzik with BMO. Please go ahead.
Daniel Gold: This is Daniel Gold on for Andrew Strelzik. Thanks for taking my question. Regarding your supply chain initiatives, you've noted moving the buy off spot. Have you completely disconnected the model from spot-linked prices? Is there still some link, can you provide texture on how that link is structured if there is one?
Michael Skipworth: Yeah. Good morning. I think we're pretty excited about the progress we've made in our supply chain strategy. And I think what's important is this strategy is designed around minimizing the volatility that we see in food cost. And Alex referenced it in his prepared remarks where we've made some meaningful progress over the past year and it puts us in a position -- and then quite frankly a position we really haven't been in before as a brand to have visibility into what we expect food cost to be for 2024. And that's something that's really exciting for our brand partners. And we're going to continue to work on advancing that strategy. Our supplier partners are right there with us and we think it's a great strategy that works for both sides. And so it's something we think we can continue to advance forward. And we'll move more and more of our buy away from the spot market ensuring that we minimize the volatility in food costs. And then as Alex mentioned, we see a line of sight to continuing to drive boneless mix to something north of 50% that could ultimately be a structural change to food costs in that low 30% range, which is in the mid-30s today. And that would just further bolster those unit economics that our brand partners enjoy today.
Daniel Gold: Right. Thank you. And can you give us an update on your delivery mix and how you're looking to drive growth in that channel? I understand there's some pressure on delivery in this environment. And are additional partners a factor there in driving growth?
Michael Skipworth: Yeah. I mean, we're pretty encouraged by the growth that we've seen in delivery. We actually mentioned in our prepared remarks that we've seen growth both in DoorDash and Uber Eats and we're continuing to believe there's a meaningful amount of upside in that channel for us. From a mix perspective, it's pretty consistent to what it was last quarter, maybe ticked up a little bit. But that's a good thing because while we're still seeing growth in those channels, we're seeing growth in all other channels, whether it's digital carryout, non-digital carryout. And so from a mix perspective, that number is not moving very much, but we think that's a good thing because of the strength we're seeing across all channels which we think is a really healthy sign for the brand.
Daniel Gold: Great. Congrats on the quarter.
Michael Skipworth: Thank you.
Operator: The next question is from Michael Tamas with Oppenheimer & Company. Please go ahead.
Michael Tamas: Thanks. Good morning. Michael, I wanted to follow-up on your comment about gaining more new customers this quarter than you did when you first launched chicken sandwich. It's pretty impressive. So can you dig into that a little bit more, how are you reaching these new customers for the first time? How do you maintain that momentum? Is it just the national TV campaigns? Or what are some other levers you can pull in 2024 and beyond to continue gaining new customers? Thanks.
Michael Skipworth: Yeah. It was a stat we're really excited about. We obviously had an incredibly successful launch of chicken sandwich in 2022 and to be able to lap that obviously with the comp that we delivered and also acquiring more guests, new guests than we did during that time we're pretty excited about. And we think it's -- again, we think it's just the effectiveness of these multiple growth strategies that we're executing against. And the continued expansion of the brand and continuing to scale awareness is obviously a big catalyst for that. And as more brands know of Wingstop and are looking for that indulgent quality occasion, which is where we think in a time when it's tough out there where dining behaviors tend to trend we think it puts us in a really unique spot just to continue to navigate this environment different than everyone else in the industry.
Michael Tamas: Thanks. And then on the international side, you've slowly been ramping the number of new units you're building each year outside the US. So should we think about that sort of stair step higher continuing to happen? Or is there anything that you see a look at that there's going to be a meaningful step change whether it's China or somewhere else? Thanks.
Alex Kaleida: Hey, good morning, Michael. This is Alex. Yeah. We would expect international to continue to stair step and it's a little bit of the nature of the way we construct our development agreements. In the US, our domestic agreements tend to be three to five years smaller amount of restaurants under commitment. International, tend to be 10 years and then they start a little slower in the ramp. And then they get to a place like our UK market which is our playbook for future restaurant development, where we're opening restaurants in the mid-teens level in its fourth or fifth year into its opening rates. And we've got new markets like Canada and Korea that are following that playbook. We've got we're really excited about Canada just being open with four restaurants in a little over a year and their AUVs are already pacing at a level that's near the US domestic average. They're building awareness. They're starting to turn that corner just like the UK market did and ramping up. So I think we will expect over time though international as Michael mentioned on the call to be a much bigger part of our story.
Michael Tamas: Thank you.
Operator: The next question is from Peter Saleh with BTIG. Please go ahead.
Peter Saleh: Great. Thanks for taking the question. Congrats on another great quarter. I did want to come back to the conversation around the balance sheet. In this environment of higher for longer and I appreciate that we don't know where rates are really going to go over the next 12 months. But is your intention or the message here that you'll be more patient until rates maybe come down a little bit from the current environment to add more leverage? Or should we still expect you to move on additional leverage over the next 12 months? And then also I know your target used to be in that six, seven times. I think in the past you were closer to six times on leverage. Is that -- should we think about that target to be a turn or so lower now? Or -- just trying to get some clarity around your comments around the balance sheet going forward? Thank you.
Michael Skipworth: Hey Peter. I'll start and then Alex could jump in. But I think what we are referencing is we leaned-in in our last debt refinancing to be in a position to have options and to be flexible and that's exactly where we are. We put a lot of cash on the balance sheet providing us a lot of optionality. But we also entered into a variable funding note and the pricing at which we entered that into at the time was extremely competitive and is, quite frankly, at a better rate than I think what we can get debt at on the open market today. And so it puts us in a great spot to be flexible and to have options. And so we have plenty of cash on the balance sheet. We generate a ton of free cash flow as being -- with our asset-light model. And so I think you'll see us continue to lean into optionality in front of us and we think we're in a position just to continue to execute based on our current capital structure against our return of capital strategy that we've talked about. But that said, I don't think anything changes from our levels of leverage and where we're comfortable. We still think that's a pretty healthy mark for us to be at, particularly when you think about the pace at which we delever when you combine our EBITDA growth rate which for this quarter, just to point out, was north of 30% on top of a pretty similar and strong number last year. And so that combined with our free cash flow generation allows us to delever really quickly. And so, we feel pretty comfortable about where we are today and the options we have in front of us.
Peter Saleh: Thank you. And then just real quick on the delivery partners. You have two sizable delivery partners. In the past, I think you'd indicated about an 80% or so loyalty for each individual partner with maybe 20% of the customers, kind of trading back and forth. Has anything changed as both of those delivery channels for you guys have grown? Is that still -- are those still good metrics to use?
Alex Kaleida: Yes. Peter, this is -- we actually with that data point you referenced was something we had hypothesized based on some research that we had done when launching Uber Eats last year. But we have not seen the cannibalization. As we mentioned on the call, we're still growing our DoorDash business from an average weekly delivery transaction standpoint. Uber Eats is growing as well, and this is with a very low level of awareness in both marketplaces. And so there's going to be opportunity for us to deploy some of our advertising fund investments into these channels to build awareness and that's what we're focused on doing coupled with the new guest acquisition that we have across all channels.
Peter Saleh: Thank you very much.
Operator: And our final question today comes from Jake Bartlett with Truist. Please go ahead.
Jake Bartlett: Great. Thanks for taking question. My first -- and then, I have a follow-up. The first question is on G&A. The G&A, guidance has gone up about 15% from the initial guidance. I just want to make sure I understand, what's driving that and really most importantly what the implication is for 2024. I assume there's a lot of incentive comp that's accrued is being reflected 2023 might not recur in 2024. So just if you can kind of level set us with base to grow from in '24? Any help there would be great. And then I have a follow-up.
Michael Skipworth: Sure Jake. There's, two factors really in the increase in our guidance from the prior quarter and it's -- one is the investment in consulting fees that were in quarter three of $1.3 million. And then the balance relates to increase in our accrual for our short-term incentive-based compensation based on the performance in the business. And so in total for 2023, we have about $5.2 million of non-recurring consulting fee investments that will lap. And then obviously the short-term incentive will reset going into next year. So I would think about G&A, as a percent of system sales. And we'll have more detail in 2024, but something that's consistent with what we see in 2023 for next year.
Jake Bartlett: Okay. Great. When I had a question about the GLP-1, potential impact going forward, I know it's really difficult to quantify. But just I'm wondering, how you're thinking about it whether you've done work to your exposure. If there' any markets where you're seeing an impact? And then, I guess, if you think there would be an impact any kind of way you think you could react to that?
Michael Skipworth: Sure. Clearly, we're not seeing an impact on our business today, which is supported by the strong results that we delivered for Q3. Jake, I think there's, still a lot of questions out there around GLP-1 that remain to be answered. Affordability, the level of widespread, sustainable adoption I think are still relatively unknown. But as we think about our target guests in that group occasion where we win, we think we're well positioned. And so we're going to remain focused on our long-term growth strategies that we're executing against and just continue to advance our strategies forward.
Jake Bartlett: Great. I appreciate it.
Operator: This concludes our question-and-answer session. And the conference has also now concluded. Thank you for attending today's presentation. You may now disconnect.